Operator: Good day, and thank you for standing by. Welcome to the Hanesbrands' Fourth Quarter 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to T.C. Robillard, Vice President of Investor Relations. Please go ahead.
T.C. Robillard: Good day, everyone, and welcome to the Hanesbrands' quarterly investor conference call and webcast. We are pleased to be here today to provide an update on our progress, after the fourth quarter of 2024. Hopefully, everyone has had a chance to review the news release we issued earlier today. As a quick housekeeping item, beginning with fourth quarter results, we have reclassified the Champion Japan business to discontinued operations. Recall, when we announced the sale of our global Champion business in June 2024, we said we would be a licensee of the Champion Japan business for a temporary period of time and that we would eventually move the business to discontinued operations. In the fourth quarter, we notified Authentic Brands of our plans to exit the license by the end of 2025. The Champion Japan business moving to discontinued operations was not contemplated in our initial fourth quarter guidance back on November 7. Therefore, fourth quarter and full year results as well as our 2025 guidance from continuing operations are not directly comparable to our previous guidance or to current consensus estimates. In addition to our earnings release and FAQ document, we have provided two additional documents today. One is a supplemental financial packet with recast historical financials reflecting Champion Japan and discontinued operations. The other is an earnings handout that provides a bridge from fourth quarter and full year results to our prior guidance as well as an updated overview of the go-forward business. All documents as well as the replay of this call can be found in the Investors section of our hanes.com website. On the call today, we may make forward-looking statements, either in our prepared remarks or in the associated question-and-answer session. These statements are based on current expectations or beliefs, and are subject to certain risks and uncertainties that may cause actual results to differ materially. These risks include those related to current macroeconomic conditions, consumer demand dynamics, our ability to successfully execute our strategic initiatives, including our restructuring and other action related items, our ability to deleverage on the anticipated timeframe, and the inflationary environment. These risks also include those detailed in our various filings with the SEC, which may be found on our website as well as in our news releases. The company does not undertake to update or revise any forward-looking statements, which speak only to the time at which they are made. Unless otherwise noted, today's references to our consolidated financial results and guidance exclude all restructuring and other action related charges, and speak to continuing operations. Additional information on the quarter's results and our guidance, including a reconciliation of these and other non-GAAP performance measures to GAAP can be found in today's news release. With me on the call today are Steve Bratspies, our Chief Executive Officer; and Scott Lewis, our Chief Financial Officer. For today's call, Steve and Scott will provide some brief remarks, and then, we'll open it up to your questions. I'll now turn the call over to Steve.
Steve Bratspies: Thank you, T.C. Good morning, everyone, and welcome to our fourth quarter earnings call. Hanesbrands delivered strong results for the quarter and the full year across all of our key metrics, including our sales, margins, EPS, operating cash flow, and debt reduction. Coming into 2024, we said that despite the muted consumer environment, our sales trends would improve throughout the year, and that we had reached an inflection point in our margins and our leverage. We delivered on this expectation, and as a result, we are entering 2025 with a strong foundation, clear direction and good momentum to create shareholder value. Some highlights for the year. Sales trends improved each quarter with the fourth quarter pivoting to year-over-year growth of 4%. Gross margin improved 580 basis points over prior year to 41.4%, which is structurally higher than pre-pandemic levels, due to permanent cost savings initiatives and improved assortment management. Operating margin expanded 390 basis points to 11.8%, while supporting a 150 basis point increase in brand investment. Earnings per share increased 670%, and we paid down over $1 billion of debt and reduced leverage by nearly 2 turns. These results reflect the successful execution of our strategy over the past four years to streamline and reposition Hanesbrands even while facing a challenging consumer environment and a number of additional unexpected headwinds. We shifted from a global holding company to a global operating company, where we leverage and share our brands, innovation, marketing, talent and supply chain capabilities around the world. We substantially focused our portfolio and simplified our business. We're now a consumer-centric company with both a reignited Innerwear business that is gaining market share and an added focus on new revenue streams. We built core competencies and a disciplined operating model with consumer-led innovation, SKU lifecycle management, and the application of advanced analytics and AI. We streamlined and strategically segmented our global supply chain and expanded our e-comm capabilities and we built our talent and associate proposition, all while implementing cost reduction initiatives to improve efficiencies, lower our fixed costs, and allow for higher levels of growth-related investments. As I previously highlighted, the benefits of the organization's collective efforts over the past four years began to show in our 2024 results. I want to thank all of our associates for delivering on a strong year and for their hard work to successfully reposition Hanesbrands for the future. We enter 2025 as a new company, a more simplified focused business with a powerful asset base, significant competitive advantages and multiple levers to create shareholder value over the next several years. We're a global powerhouse in innerwear and basic apparel, operating in a brand driven category that is core and essential to consumers. We own market leading brands, including Hanes, Bonds, Maidenform and Bali. Our brands are synonymous with comfort and quality and have been trusted by consumers for generations. We have a proven and repeatable consumer-centric innovation process that is driving market share gains, retail space expansion and is attracting younger consumers to our brand franchises. We have global go-to-market capabilities, as well as distribution breadth and scale, enabling us to capture demand wherever the consumer wants to shop. And we have an advantage supply chain with world-class owned manufacturing network and diversified global sourcing operation. Going forward, we expect to further leverage our competitive strength and generate consistent top-line growth, expand margins to over 15% and generate more than $400 million a year of operating cash flow. Looking to 2025, we believe we're well-positioned to make significant progress towards these goals. We will build on fourth quarter's momentum and expect to deliver positive organic constant currency sales growth for the year, driven by new innovations, distribution gains in key channels, contributions from new revenue streams and market share opportunities within the Printwear channel, as we celebrate and leverage the 50th anniversary of the Hanes Beefy-T. As we continue to improve our cost structure, particularly within SG&A, we expect further margin expansions this year, while maintaining high levels of growth related investments. This magnifies our growth rates as we move down the P&L, driving operating profit growth of 10%, EPS growth of more than 30% and operating cash flow of $350 million. And we will remain focused on using all of our free cash flow to pay down debt and further reduce balance sheet leverage. The combination of profit growth and debt pay down is expected to bring our leverage down to around 3 times by the end of 2025. So in closing, we're seeing the benefits of our transformation strategy as we delivered strong results for the quarter and the year. We commit to 2025 as a new and better company, well-positioned to build upon our competitive advantages and drive increased shareholder returns through sales growth, further margin expansion, strong cash generation and continued debt pay down. Before I turn the call over, I want to touch on the leadership succession plan, we announced this morning. We have reached a positive and important inflection point in executing our strategy. Looking ahead to the company's next growth phase, as a Board, we believe now is the right time to begin to search to identify the next leader, who will build upon our transformation work and continue the company's momentum. We have a remarkable team at Hanesbrands, and it's an honor to work alongside them. Over the last five years, the team has done an extraordinary job of streamlining and repositioning Hanesbrands, all while navigating a number of extremely challenging environments. Today, we're a leaner, healthier company with a much stronger foundation. We're more focused, having successfully transformed our portfolio and how we operate around the world. We're more profitable. We're generating consistent cash flow and we strengthened our balance sheet. I'm proud of the actions we've taken, what this organization has achieved together and how Hanesbrands is positioned for the future. We're in a very fortunate position with a great window of opportunity for a smooth transition. I'm fully engaged and focused on continuing to lead the team in delivering a strong 2025, and I look forward to working with the Board as it conducts the search. And with that, I'll turn the call over to Scott.
Scott Lewis: Thanks, Steve. On a personal note, on behalf of Hanesbrands, I want to express our appreciation for your leadership and all that we've accomplished over the past five years to transform the business and position the company for the future. I look forward to continuing to work together to drive our strategy and to deliver a strong 2025. Also, let me add my thanks to the global Hanesbrands team. Their continued dedication and commitment to a strong and improving operating and financial performance over the course of 2024. With a simplified and strengthened business model, we believe we're well-positioned to generate strong shareholder returns over the next several years through a combination of double-digit earnings growth and debt reduction, and in the longer-term, returning capital to shareholders. Before I speak to the quarter's results, a quick housekeeping item regarding Champion Japan. Recall, when we announced the Champion sale, we said, it will be a licensee for the Champion Japan business for a temporary period of time and eventually move the business to discontinued operations. In the fourth quarter, we notified Authentic Brands of our plans to exit the Champion Japan license by the end of 2025 ahead of schedule. As a result, beginning with fourth quarter's results, the Champion Japan business has been reclassified to discontinued operations, which was not contemplated in our previous guidance. Therefore, fourth quarter and full year results as well as our 2025 guidance are not directly comparable to our prior guidance or the current consensus estimates. We provided an earnings handout that bridges our fourth quarter and full year results to our prior guidance. We also provided a supplemental financial packet that includes recast historical financials. Both documents are posted on our Investor Relations website. For today's call, I'll focus on continued operations. Overall, we delivered strong fourth quarter results that were above our outlook across all of our key metrics. Net sales increased nearly 4% on an organic constant currency basis. Operating profit increased 33% over prior year. EPS increased 240% and leverage declined by nearly 2 turns on a net debt to adjusted EBITDA basis. Turning to the details of the quarter. Net sales on a reported basis increased 4.5% over prior year to $888 million. The year-over-year growth reflects 175 basis point benefit from transition services revenue and 110 basis points headwind from foreign exchange rates. Looking at our segments. In the U.S, net sales increased 3% over last year, ahead of our outlook. Despite the challenging environment, our strategy is working and we're winning in the marketplace. Innovation, increased brand investments, incremental holiday programming and performance in the online channel helped drive growth in the quarter, particularly within our socks, women's and scrub businesses. In our International segment, net sales increased 6% over prior year on a constant currency basis with growth in each region. With respect to our Australia business, growth in the quarter was driven by better in stocks within our own retail, effective assortment management and strong bonds innovation. Touching briefly on our other segment. The year-over-year increase in net sales were driven by short-term transition service agreements related to the sale of our Champion business. We expect these agreements to wind down over the course of 2025. We've excluded these sales from our organic constant currency growth calculation. Turning to margins. We saw continued year-over-year expansion in both our gross and operating margins as cost savings initiatives are flowing through and we continue to see a year-over-year benefit from input costs as we anniversary the impact from peak inflation. Our cost savings and assortment management initiatives are driving structurally higher and sustainable margins while supporting increased brand investment. For the quarter, gross margin increased 400 basis points over prior year to 44.1% and our operating margin increased 300 basis points to 14.2%. With our visibility to input cost and our cost savings initiatives, we're confident we can deliver year-over-year expansion in both our gross and operating margins in 2025. And with respect to earnings per share, EPS increased 240% over last year to $0.17. The growth was driven by the combination of higher profit margins and a $7 million reduction in interest expense, as we continue to pay down debt. Turning to cash flow and the balance sheet, with better than expected profit performance, lower cash interest and disciplined working capital management, we generated $264 million of cash flow from operations for the year, which exceeded our outlook. We also further strengthened our balance sheet. With the combination of the net proceeds from the Champion sale and strong cash generation, we paid down over $1 billion of debt during the year. Leverage at the end of 2024 was 3.4 times on a net debt to adjusted EBITDA basis, which was nearly 2 turns lower than the end of 2023. And now turning to guidance, where all my comments will refer to adjusted results from continuing operations and will be based on the midpoint of our guidance ranges. We believe we're well-positioned to deliver positive sales growth on an organic constant currency basis, along with solid operating profit and EPS growth for the year despite a continued muted consumer environment. We expect further improvement in both our gross and operating margins for the year given the input cost visibility we have on the balance sheet and our cost savings initiatives. Our outlook also assumes that we refinance all of our 2026 maturities in the first quarter of 2025. With respect to the current situation regarding tariffs with China, Mexico and Canada, we do not expect a material impact on our cost. Products from China to the U.S. represents a low-single digit percent of our U.S. cost of goods sold. Therefore, the recent incremental tariff does not materially impact our input cost and is factored into our guidance. With respect to Canada and Mexico, we do not source or manufacture any products for the U.S. from either of those countries. Looking at our full year, we expect net sales of approximately $3.5 billion, which represents approximately 1% growth on an organic constant currency basis. We expect operating profit to increase approximately 10%, operating margin to expand approximately 125 basis points to 13.1% and EPS to increase more than 30% over prior year and we expect to generate approximately $350 million of operating cash flow for the year. Turning to the first quarter. Our outlook assumes net sales increased 1% to approximately $750 million. On an organic constant currency basis, we expect net sales to be consistent with prior year. We expect operating profit to increase nearly 30% over prior year and operating margin to expand approximately 190 basis points and we expect EPS of approximately $0.02 as compared to a loss of $0.05 last year. So in closing, I'd like to echo Steve's comments. We delivered strong results for the quarter and the year as we're seeing the benefits of our transformation strategy. We commit to 2025 with a new and better company, well-positioned to build upon our competitive advantages and drive increased shareholder returns through sales growth, further margin expansion, strong cash generation and continued commitment to pay down debt. And with that, I'll turn the call over to T.C.
T.C. Robillard: Thanks, Scott. That concludes our prepared remarks. We'll now begin taking your questions and we'll continue as time allows. I'll turn the call back over to the operator to begin the question-and-answer session. Operator?
Operator: [Operator Instructions] Our first question comes from the line of Paul Kearney with Barclays.
Paul Kearney: Good morning. Thanks for taking our question. Can you talk about the degree of confidence in the company's ability to drive positive sales in ‘25? And what are some of the revenue opportunities behind this? And also can you expand on the visibility and control into the drivers of future margin expansion, both for this year and eventually to the 15% target? Thank you.
Steve Bratspies: Sure. Thanks for the question. I'll start with the revenue one, Scott, and then I'll let you talk about the margin. We're very confident in our ability to pivot to that 1% organic constant currency growth for the year. That said, still challenging environment out there, but as I look at where we're positioned, the momentum we kind of have coming out of Q4, the innovation that we have, the brand investment that we have planned, the space that we've already gained permanently with some of our key retail partners, I think we have a lot of momentum. I think the consumer is responding to our innovation and continues to choose the brand and you can see that through the market share gains that we've continued to get. So, we feel good about our core business. We're also starting to expand a little bit into what we're calling kind of new revenue streams. You've heard us talk about our scrubs business before. I'm encouraged about the work that's being done in our Hanes apparel sector. So that's some fleece product, sleepwear product, our Printwear business. We mentioned that 50th anniversary of the beefy-T. There's a lot of momentum behind this business with new innovation that's coming and we feel good about the opportunity that pivot to a full year of growth for this company.
Scott Lewis: Yeah. Good morning, Paul, and thanks for your question. So, on margins, let me first say, we're just really pleased with performance in 2024 on our overall operating margins. They were up 400 basis points in ‘24. We finished the year with gross margin of over 44%. So, the team did a fantastic job of delivering. And it really shows you the power of the business model that we're running through. As you look to 2025, we're looking for another step up in our operating margins. Our guide at the midpoint has us up another 125 basis points in operating margins, about 20 basis points to 30 basis points, so that's coming from gross margins. So, you're going to see incremental benefits from cost savings from SKU mix. We're now in that low 40% gross margin range that we talked about. So we're really delivering well on gross margin. As you look to the -- on the SG&A side, which is actually the bigger driver of the margin expansion for operating margin. It's going to be up about or SG&A is going to be down about 100 basis points, so delivering at 100 basis points of margin uplift for the year. There you're going to see kind of the annualized run rate effect of the prior year actions that we took and the incremental actions that we're taking in 2025. And these savings more than offset the incremental investments that we have with technology and on the people side. And then just one point to on the 2025, we've talked about this before on the brand spend, 2024 already had a spend rate of 5% of sales. So, we took that investment rate up in 2024. We feel like that 5% is a good run rate. It fully supports our brands, the innovation and pipeline. So we feel really good about that. So you're not looking at an incremental headwind from brand spend in ‘25, so you're going to see that clearly hitting the operating margin. And then to your last point, what we saw in ‘24, what we expect in ‘25, we have a lot of confidence and great visibility to cost and the savings. We see ‘25 as another big step in our journey to 15% plus op margins, and we can get there over time. So we feel really good about that.
Paul Kearney : Great. Thank you.
Operator: Our next question comes from Aditya Kulkarni with UBS.
Aditya Kulkarni: Great. Hi. This is Aditya Kulkarni on behalf of Jay Soul. Thanks for taking my question. So this is a question for you, Steve. The announcement of your planned departure was a bit of a surprise to us. Could you just talk a little about your decision to step down and whether this was always a part of your plan? And I have a quick follow-up.
Steve Bratspies: Sure. Thanks, Aditya for the question. There's not a ton more to add versus what we said, but maybe I can give you a little more context. I think what's really important is that we always feel that we're transparent about these plans and ensure stakeholders that we're beginning this transition from a really strong position, a position of strength. I'm coming up on my fifth year anniversary of joining this great company. And as a Board, we're looking out as we should be for what does the next five year phase of this business look like. We've reached a positive and important point in our strategy. We have a clear long range plan and this naturally brought up these discussions. So as a board, we believe, now is the right time to implement our succession plan and we're in a fortunate position. The company has strong foundation, more focused, more profitable, we're generating consistent cash flow again. We're well positioned for sustainable growth as I talked about a few minutes ago, and we've built a great leadership team. So it's really that simple. There's no issues with the business, the strategy. The board and I are in lockstep over succession. And when you look at all these factors, we have a great window of opportunity for a smooth transition. But I want everyone to know, make no mistake, I am fully engaged and we'll continue to help drive this team and the business to deliver strong growth and really great profitability in 2025. And obviously, I'll work closely with the Board and help identify my successor.
Aditya Kulkarni: Understood. That's very clear. Thanks. And then, just switching gears a little bit, could you talk a little about where you guys are with eliminating the stranded costs associated with Champion, and how much runway you have left on that front? Thank you.
Steve Bratspies: Sorry, you broke up just at the very end. We heard how far we are on eliminating stranded costs from Champion, but the last part broke up, if you could repeat it.
Aditya Kulkarni: Yeah. And just how much runway you have left?
Scott Lewis: Yeah. So, on the stranded costs, one of the things and touched on this a little bit earlier, we are very focused on not just eliminating the Champion stranded costs. We took the opportunity with the Champion transaction broadly to step back and really look at our overall cost structure. And so, we've took a lot of cost out in ‘24 and we actually accelerated a lot of the actions into 2024. So you saw, again, that margin increase last year is largely attributable to the actions that we took and the pace we're working through that on. As far as the stranded cost and other actions, we're going to essentially be complete with that this year. And so you're going to see again the big part of the margin expansion of the 125 basis points is getting those costs out. And then as you go forward, you're going to see the full run rate effect of that as you look beyond 2025, and that's how you get to that 15% plus margin over time.
Operator: Our next question comes from Paul Lejuez with Citi.
Paul Lejuez: Hey. Thanks, guys. Curious, if you could talk about the guidance for F’25 and how it breaks down in terms of what you're looking for in the U.S. business versus international? And within the U.S, if you can maybe talk about any changes in ordering patterns, sell-through patterns from some of your bigger mass accounts versus department stores? And what channel do you expect to be the strongest and weakest in F’25? And then last, just curious on gross margin, if you could talk about the cadence maybe on a quarterly basis throughout the year, if we should think about it as consistent or is it going to be stronger upfront, weaker in the back or vice versa? Thanks.
Steve Bratspies: Sure. Let me start and Scott, I'll let you handle the margin. On the top line for guide, as we said, we expect about 1% growth year-over-year on a constant currency basis, that works out roughly in the U.S. segment to be essentially flat for the year. International, on a constant currency basis will be up low-single digit. And then in our other segment, we do have that about $45 million, but that's not in that 1% growth. Regarding the channels that you talked about, no major shifts in ordering patterns that we've seen going forward and don't necessarily anticipate them. Obviously, there's some disruption out there and some channels are doing better than others right now and some customers are doing better than others, but we're working really hard with all of them. They're all important to us and we expect to continue to drive growth in where we're strong. I think we're well-positioned with the winners that will play out over time, but where you would expect to see strong growth over the years, we're well-positioned there and continue to see that growth. There's also been a lot of change in leadership at many of our retail partners and we're working very closely with them as they build out new plans and look for new ways to improve their business. Our retail relationships today are probably as good, if not better than they've ever been. So we're very close and continue to adapt to the needs out there for different retailers.
Scott Lewis: Yeah. And question on the margin, so for the full year, like, I mentioned earlier, gross margin will be up around 20 basis points to 30 basis points. In the first quarter, we were expecting gross margin to be around 41.3%, which is up about 125 basis points year-over-year. Now, we're not guiding on that each quarter within the year, but just a little more color as you think about setting your model together. I think in the first half, you should expect a little more margin increase year-over-year. You're going to have a couple of things play out within gross margin, the first part is input cost. We're seeing input costs are stabilizing overall, but we're going to see some tailwind benefit in the first half, not so much in the back half of input cost. And then also from a cost savings standpoint, like, I mentioned earlier, we accelerated a lot of actions. So you're seeing that benefit earlier. We're going to see the year-over-year benefit slow down a little bit, mostly in the back half. But those two factors, as you think about the margin cadence, you should think about from a gross margin standpoint. I would say operating margin, you should expect a year-over-year margin uplift, a year-over-year increase in each quarter for operating margin. Again, a big driver that's going to be the SG&A cost reductions.
Paul Lejuez: Got it. Thank you, and good luck.
Scott Lewis: Okay. Thank you.
Steve Bratspies: Thank you.
Operator: Our next question comes from Ike Boruchow with Wells Fargo.
Ike Boruchow: Hey. Good morning, everybody. Let me -- I have two questions. One, I'll piggyback off of Paul. Just on the gross margin, I guess, Scott, is that just so up 125 in Q1, up 20 to 30 for the year. So you're baking it down in the back half. Is there -- is that conservatism or is there something on the cost side that kind of flips the headwind that we should be thinking about? Just trying to dig into that a bit more.
Scott Lewis: Yeah. Good question. So, as you think about gross margin, probably a little bit of conservatism in our gross margin outlook. We've talked about this before. We have really good visibility to our costs, so we kind of know what to expect from input cost to cost savings during the year. So there's a little bit of conservatism, but I would say, as you look out, again, all the actions that we're taking really accelerated a lot of that margin improvement year-over-year. You saw a lot of that in ‘24 more than we initially anticipated. And then -- and this year in the first half, we're seeing that play out and it's going to stabilize a little bit more year-over-year as far as, as you look about just the comparison of year-over-year margin profile.
Steve Bratspies: And the other thing I would just add is, Q4 is a big comp with that 44.1%, which is, we're really proud of that number and really glad we hit it, but that's a big comp. So that kind of adjusts your numbers as you go through the year.
Ike Boruchow: Got it. Fair enough. Okay. And then just a follow-up. I want to make sure I understand the cash flow build for the year. So I guess my question is, so when I look out at your guiding $350 million in operating cash flow, if I -- my rough math, if I just add the net income and the D&A, I'm getting -- I get something closer to $250 million. So I kind of have to assume there's some working capital benefits happening there. Can you just maybe Scott talk about what those might be? And a follow-up to that is, can you comment in that number, are you baking in further benefits from the securitization of receivables that you were doing last year into this year? And could you quantify that? I'm just trying to make sure I understand all the line items and moving pieces within cash flow for the year.
Scott Lewis: Yeah. Definitely a great question on the cash flow. We -- again, just like the margin, it looked very good and very pleased with the results in 2024 coming in at $264 million. And maybe the best way, Ike, to talk about this is, I'll bridge here from what we saw in ‘24, give you some puts and takes in there and bridge you there to help frame it up better for you. So starting with the $264 million, what you're going to see is on the increases, you're going to see profit growth. We were going to have operating profit growth. I mentioned 125 basis points, that's a little over $40 million of profit year-over-year growth. Also factoring in is the lower cash interest. We have lower cash interest in ‘25 versus ‘24, around $60 million. So, there's another piece to consider as you look at year-over-year. And then also in 2024, there was about net about $75 million of non-recurring transactional deal costs like with the Champion transaction, a lot of these restructuring actions that were cash. Those are non-recurring to that level. And so those are not what we're repeating at that level. So, you factor all that in, you really get a lot more upside than what you're looking for in the calculation that you did. The other couple of things to think about and consider is, we saw a lot of working capital benefit in 2024. A lot of that was tied to the Champion transaction as we were harvesting cash and working capital to drive the benefit there, getting cash ahead of those transactions. We had about $150 million in total working capital benefit last year. A lot of that was triple to the champion of harvesting of cash. You're not going to see that level. You are going to see a benefit in working capital. Inventory AUR, AP (ph) is all going to be contributing to working capital benefit this year, just not to the same level that you saw in 2024. And you have other puts and takes in there to get you to the $350 million, but really good shape with that. From a receivables financing standpoint, you did take and do some incremental actions in the last couple of years, not really anticipating any incremental benefits from receivable financing this year on top of what we saw in 2024.
Ike Boruchow: Got it. Very helpful. Thanks.
Operator: Our next question comes from Jim Duffy with Stifel.
Peter McGoldrick: Hi. This is Peter McGoldrick on for Jim. Thanks for taking our question. I was curious, as you build to the low-single digit international revenue outlook on a constant currency basis. Can you talk to your expectations for volume, pricing, and if you can classify the inventory position? It sounds like there was some channel fill in Australia in the quarter. How does that all fit into your top line growth outlook?
Steve Bratspies: Sure. So let me talk about Australia first, which is obviously the biggest part of that International segment. No inventory fill in the channel. So it's all volume driving consumer pulp that has improved that part of the business. Australia is still in a challenging situation. Inflation is sticky, and GDP is still a little bit low there, but really like the way that business is being run and where it's headed. Our online business is doing extremely well there and has continued to perform. The innovation that we've launched has been really good. And one of the things, I'm really proud of that team is they're not standing still, they're finding solutions to operate in a really challenging environment, driving again new innovation, consumer engagement, really making sure that our assortment is aligned with consumer behavior. So an example of that was we found some gaps in the portfolio of, at the lower end that we've launched what we call bonds everyday value product, which is actually a lift in land from the U.S. So back to that, we're a global company moving innovation around the world that really addressed the price gap we have in the market and that's doing extremely well. So feel good about Australia. Obviously, we saw growth in the fourth quarter in Australia of about 4%, which we have not seen growth in a while there. So I'm encouraged about where that business can go. The rest of the Americas business is doing fairly well, and we think we have opportunity to continue to grow that business, particularly our business in Mexico. So around the globe, International, we feel pretty good. It's normal business, it's grinding out business, but there's no inventory fill or anything like that that's driving that business going forward.
Peter McGoldrick: Very helpful. And then I was curious about the opportunity you're seeing in the Printwear business with the new streamlined operating structure. Can you size Printwear, what it means to Hanesbrands, discuss your current competitive position and how that fits into your 2025 growth outlook.
Steve Bratspies: Yeah. We don't share the exact breakout of that business. It's not a tremendously large part of our business, but I think it can be a highly incremental part of our business. And it's a business that we honestly haven't focused on that much in the right way recently, but we are pivoting hard. We got a new leadership team in place, and they are working extremely hard with our partners in our business, Hanesbrands and Beefy-T 50th anniversary is being extremely well received in the market. It's one of our many growth opportunities that we have for next year. We've got a lot of growth drivers, and that's one of them. And I think we'll talk more about it as we go forward.
Operator: Our next question comes from William Reuter with Bank of America.
William Reuter: Hi. I have just one. In terms of your sales into Mexico, as well as Canada, in the event that there were retaliatory tariffs put in place, what would be the impact potentially there?
Steve Bratspies: Yeah. The short answer is zero, because we don't move product that way. So obviously, there's -- I don't want to speculate on other scenarios, but there is no impact on product and tariffs between those out of countries, Mexico and Canada.
William Reuter: Okay. So just to be clear, you don't sell products into customers, retail customers, I guess they'd be your wholesale sales into Canada and Mexico?
Steve Bratspies: Not from the U.S.
William Reuter: Got it. Okay. All right. That’s all for me. Thank you.
Steve Bratspies: Thank you.
Operator: Our next question comes from Carla Casella with JPMorgan.
Carla Casella: Hi. Given you guys have such a great touch with retail wholesale channels, can you talk about whether you're seeing a consumer kind of shift between channels or different consumer trends within the market?
Steve Bratspies: Sure. Thanks, Carla. Yeah. It is really good. We have our great relationships with a whole bunch of different customers across the different channels. And you've seen which channels seem to be overperforming at a macro level right now. Our business performs relatively consistently with those channels. So I don't want to get into the specifics of our performance channel by channel, but you should expect that our business follows the macro channel trends relatively closely.
Operator: That concludes today's question-and-answer session. I'd like to turn the call back to T.C. Robillard for closing remarks.
T.C. Robillard: I'd like to thank everyone for attending our call today, and we look forward to speaking with you soon. Have a great day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.